Operator: Good morning, everyone, and thank you for participating in today's conference call to discuss MiX Telematics' Financial Results for the Fiscal Third Quarter 2023 ended December 31, 2022. Joining us today are MiX Telematics President and CEO, Stefan Joselowitz; and the company's CFO, Paul Dell. Following their remarks we’ll open the call up for any questions you may have. I'd now like to turn the conference over to Chief Financial Officer, Paul Dell, as he reads the company's safe harbor statement regarding forward-looking statements. Please go ahead, Paul.
Paul Dell: Thank you, and good morning, everyone. Before we continue, I'd like to remind all participants that during today's call, we will make forward-looking statements related to our business, which are subject to material risks and uncertainties that could cause our actual results to differ materially. For discussion of material risks and other important factors that could affect our results, please refer to those contained in our Form 10-K and other SEC filings, all of which are available on the Investor Relations section of our website. We will also be referring to certain non-GAAP financial measures. There is a reconciliation schedule detailing these results currently available in our press release, which is located on our website and filed with the SEC. With that, I would like to turn the call over to MiX Telematics' President and CEO, Stefan Joselowitz. Joss?
Stefan Joselowitz: Thank you, Paul, and good morning, everyone. Thank you all for joining us. For our third quarter of fiscal 2023, we delivered another strong quarter of financial and operational results. Our results were highlighted by record organic subscriber growth, a 520 basis point sequential improvement in our adjusted EBITDA margin and a strong return to positive free cash flow generation. We achieved another record quarter of organic subscriber growth with an increase of over 44,000 net new subscribers, primarily driven by growth in Africa. At the end of the quarter, we had more than 959,000 subscribers, which was up 21% year-over-year. Financially, we generated $37.8 million of total revenue and delivered 17% year-over-year growth in ARR on a constant currency basis, ending the quarter with $131.8 million of annual recurring revenue. We are making steady progress on integrating the Field Services Management business, which we refer to as FSM, which we acquired from Trimble in the second quarter and are now implementing our customer retention strategy. While it is still early in the transition process, we continue to believe that we can achieve our previously set goal of a 75% conversion rate within the next 3 to 5 quarters. We also closed the deal for 500 MiX Vision AI cameras with an FSM customer with additional potential future upside. This is an early sign of success of the cross-sell potential inherent in this acquisition. In terms of our adjusted EBITDA performance, we generated $8.4 million at a margin of 22.2%, a significant increase from last quarter. We saw sequential expansion in our normalized adjusted EBITDA margins in each month of the quarter and believe that we will exit fiscal 2023 with margins moving towards the mid-20s in the fourth quarter with further margin expansion expected in fiscal 2024. As we continue to grow and evolve as a company, strategic M&A remains an important component of our business strategy. We are committed to finding attractive means of adding value to our subscriber base and technology portfolio. Through that end, we have a dedicated team in place that is focused on identifying and evaluating potential acquisition opportunities. Our team is continuously monitoring the market for companies and assets that align with our strategic goals and that can help us to scale our presence in the U.S. and abroad. Shifting our focus to product development. We recently unveiled a significant upgrade to our MiX Vision AI solution in early December. This update to our existing integrated video and feed telematics package includes support for smaller dash cams that are quicker and easier to install as well as new software features to enhance the user experience and provide even more flexibility to customers. Our portfolio of AI-powered products now includes the option of an advanced multi-camera mobile digital video recorder that integrates seamlessly with MiX Telematics' premium fleet solutions. We believe this will enhance the value proposition of our broader portfolio by addressing the growing trend of business, leveraging video technology to improve driver safety and reduce risk. With regards to our MiX OEM Connect strategy, last quarter, we completed our integration with the telematics services of Ford Europe as well as another major vehicle corporation that represents multiple automotive brands. The commercialization of our OEM Connect solutions is ongoing in North America and Europe. While this currently represents a small portion of our overall business, we continue to view our OEM strategy as a gateway to high-margin recurring revenue in the future. The nature of our industry demands ongoing innovation. So it is essential that we maintain a forward-thinking approach by constantly enhancing our offerings. This enables us to preserve and strengthen our competitive edge across our varied solutions. Investing in these endeavours is vital for our ability to organically grow our market share and retain our dedicated customers in the long term. Now turning to our regional performance and key customer wins during the quarter. Our global sales team has been working diligently to identify new opportunities and strengthen existing relationships. This has led to a steady flow of new subscribers as well as upsell opportunities with current customers. In North America, subsequent to quarter end, we signed a contract with a large fast food corporation with thousands of locations across the United States, which will further enhance the expansion of our footprint and continue to diversify our presence outside of oil and gas. This contract signing is just the start of our relationship with this customer, and we will have work to do to build it out, but we are hopeful that this customer can become an important vertical reference for us. We implemented over 2,900 new additions in Latin America, including supplying our premium fleet solution to a mining company in Brazil with a potential upsell of 9,000 connections. This customer has a fleet of over 20,000 vehicles and seeks to improve safety and maintenance costs by implementing our telematics solutions. We also provided over 1,200 new premium fleet connections to a Brazilian bus and coach company, adding to our existing 2,000 subscribers with this customer. In Europe, we are expanding our connections with Linde Gas with orders for over 750 new connections across six countries as a result of the compelling safety value proposition of MiX Vision AI. The solution is gaining further traction rapidly in Europe, including with our customers, Swans Travel in the U.K., who specializes in transporting fans to and from premier league soccer games. In the Middle East, we received a first phase order from a major FMCG player and extended our base with a large existing customer in seven additional countries. And lastly, we added over 100 new subscribers in Australia for MiX Vision AI to combat fatigue for an agricultural customer and renewed two key customer contracts for multiyear agreements. Overall, I'm pleased with the progress our sales and marketing teams continue to make and believe that we are on the right path towards sustained improvement coming out of the pandemic. Looking at the expectation we set for organic annual recurring revenue percentage growth for fiscal 2023, we are likely to end the year closer to the low end of our previous guidance range, which would put us in the high single digits. Looking towards fiscal year 2024. While our pipeline remains robust, we, like everyone, expect to face uncertainties in the broader macroeconomic environment across the globe, which somewhat complicates our line of sight into our growth objectives. However, our broad product portfolio and truly diverse global customer base positions us well to take advantage of the positive trends in the telematics industry and to drive growth. Given the uncertainties within the macro environment, our goal for fiscal 2024 is to prioritize initiatives within our control and ultimately reaching Rule of 40 performance. We remain highly confident in our ability to continue restoring our operating margins, improving our bottom line and driving free cash flow. I would like to announce that we plan to hold an Investor and Analyst Day in April to discuss our ongoing strategic initiatives in more depth. Further details regarding the upcoming event will be provided in the coming months. I'll now turn the call over to Paul to review our financial results in more detail. Paul?
Paul Dell: Thanks, Joss. Turning to our financial results for the third quarter of fiscal 2023, which ended December 31, 2022. Starting with the top line. Total revenue increased to $37.8 million compared to $36.2 million in the same year-ago period. Subscription revenue for the third quarter of fiscal 2023 increased to $32.5 million or 86% of total revenue compared to $30.3 million or 84% of total revenue in the same year-ago period. The FSM business, which we acquired in the second quarter of this fiscal year, contributed $2.3 million to the third quarter subscription revenue. Subscription revenue increased by 17% on a constant currency basis year-over-year, of which 8.5% is attributable to the FSM acquisition. The bulk of our revenue is derived in currencies other than the U.S. dollar. And as a consequence, the strengthening of the U.S. dollar over the last year has provided a headwind to our top line results. The impact of foreign currency translations led to a 9.6% decrease in our reported subscription revenues. We ended the quarter with over 959,000 subscribers as a result of the record 44,600 net organic subscribers added. Our subscriber base has increased 21% year-over-year. The strong organic subscriber growth was driven by positive contributions from all service lines, with record growth in our asset tracking and large fleet solutions in our Africa business. Annual recurring revenue or ARR was $131.8 million. On a constant currency basis, organic ARR increased 2% in the third quarter sequentially and has grown 7% since the start of our fiscal year. Year-over-year, constant currency ARR is up 17%, of which 8.5% is attributable to FSM. In addition to our record organic subscriber growth in Q3, our hardware sales, which are a leading indicator of further subscriber growth came in above our internal projections and showed strength across all geographies. Our gross margin for Q3 of fiscal 2023 increased to 64.4% compared to 62% in the same year-ago period and 62.7% in the second quarter of fiscal 2023. Importantly, our subscription revenue margin improved by 170 basis points sequentially to 69.6% in the quarter as we extracted efficiencies in a number of areas across our business. We expect gross subscription margins to stabilize at around 70% due to easing supply chain pressures and our continued focus on cost management. While we may see some volatility depending on the level of hardware revenues, in a normal operating cycle, we expect that we'll maintain an overall gross margin in the range of 64% to 66%. Adjusted EBITDA in the third quarter increased to $8.4 million compared to $7.1 million in the year-ago period and the $6 million reported in the second quarter of the current fiscal year. As a percentage of total revenue, adjusted EBITDA increased to 22.2% compared to 19.6% in the third quarter of fiscal 2022 and 17% in the second quarter of fiscal 2023. The 520 basis point sequential increase in our adjusted EBITDA margin was driven by continued growth in our subscription revenues, including the aforementioned subscription margin expansion together with ongoing operating cost leverage. We are also pleased to report that as expected, the FSM acquisition has been accretive to our EBITDA performance. Turning to the balance sheet. We ended the quarter with $25 million of cash and cash equivalents compared to $33.7 million at the end of March 2022. During the third quarter, we gained $11.2 million in net cash from operating activities and invested $5.3 million in capital expenditures, resulting in a positive free cash flow of $5.9 million. With expanding adjusted EBITDA margins and the easing of the global supply chain pressures, we are well positioned to generate significant free cash flow, both in the fourth quarter of fiscal 2023 and for the full fiscal 2024 year. Regarding our expectations for the current fiscal year and considering the acquisition of the FSM business last quarter, we continue to anticipate that we'll report double-digit constant currency subscription revenue growth for the fiscal 2023 year. We expect our organic subscription revenue growth to stay in the mid-to-high single digits. As Joss mentioned, in terms of annual recurring revenue, we anticipate achieving high single-digit organic constant currency growth in fiscal 2023. We're also focused on reaching an annual adjusted EBITDA margin of 20%, while exiting the year with a fourth quarter margin approaching the mid-20s. On our next earnings call, we will provide more detailed fiscal 2024 guidance based on the actual Q4 performance and our finalized operating plan. Heading into the fourth quarter, we are pleased with the trajectory of the company, particularly the margin expansion and free cash performance. That concludes our prepared remarks, and I'll now turn the call back over to the operator for Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Alex Sklar with Raymond James. Please proceed with your question.
Alex Sklar: Joss or Paul, when you alluded to kind of the rule of 40 outlook, I just want to clarify, was that specifically an FY '24 kind of comment or just affirmation that you continue to march towards that target longer term?
Stefan Joselowitz: Certainly, at this stage, we'll obviously give more -- we'll flesh out the -- our view around fiscal '24. But at this stage, that's the way we're thinking about the year, yes. As we see sales cycles strong -- elongate a little bit, we are definitely operating in a murkier environment than we have been and we are focusing on the things, I guess, that we can control. And certainly, in terms of the objectives we're setting ourselves out for fiscal '24, something approximating a rule of 40 is what we're currently targeting.
Alex Sklar: And then, Paul, I just wanted to dig into the gross margin line, in particular. It just looks really impressive given the mix of hardware actually increased versus the first half of the year. So could you just talk about some of the efficiencies you gained there? It sounds like it will be recurring? Is that just some of the carrier renegotiations you've talked about? Curious what else is in that line.
Paul Dell: So we saw a 170 basis point expansion in the current quarter. I think in terms of Q4, I don't think that -- we'll see a little bit of expansion, but definitely not at that level, and we expect it to end the quarter, probably around 70%. And I think -- just in terms of what we did, we have looked at every line item and our costs. As we mentioned on the last call, we executed on what we said. We have renegotiated certain of the carrier costs and we have continued to make improvements in our operating processes, including additional automation and a big business in Africa where we're doing major volumes. I think that if you make small changes, you get a lot of leverage given the volumes, and that drops to the bottom line. So yes, we are pleased with the margin improvement. But I would caution that it won't be as big next quarter. It would -- it's going to end around the 70% level.
Alex Sklar: And maybe I'll just squeeze one more in. You've historically talked about the backlog you have of kind of booked deals that you haven't implemented. Has there been any kind of change in terms of the size of that backlog? Or it's still kind of pretty similar to prior quarters?
Stefan Joselowitz: We are certainly seeing it start to trend towards normalization. So we've been steadily eating into that. It's still at elevated levels, but I think as we've seen global supply chain issues start to ease, that certainly been having an impact on our ability to roll out booked transactions.
Operator: Our next question comes from the line of Matt Pfau with William Blair. Please proceed with your question.
Matt Pfau: On the result that you saw in Africa, just wondering what drove the standout performance in that geo relative to some of your other geographies?
Stefan Joselowitz: Certainly overweight on our asset tracking portfolio, so lower ARPU customers. I've mentioned before that we do have a kind of a contracyclical impact in some of our geographies; Southern Africa being one of them where a stressed economy drives security needs, and we're certainly seeing some uplift from that kind of trend. Having said that, we continue to see great pipeline growth in that geography on premium fleet opportunities as well. So our team there overall is doing a fantastic job considering the environment that they're operating in.
Matt Pfau: And then your comment, Joss, on seeing some sales cycles elongate. Is that something new? And have you seen -- or have there been any changes in terms of customer conversations and how those have gone?
Stefan Joselowitz: There's no doubt that we're seeing really across the spectrum of customer verticals, increased caution around the concerns, I guess, pertaining to potential recession, et cetera, et cetera. So it is kind of a newish development certainly as far as this cycle is concerned, where we are seeing -- we're starting to see a more cautious approach in terms of buying decisions from large enterprise customers.
Matt Pfau: And then in terms of the future margin improvement, where should we think about that coming from?
Stefan Joselowitz: You're referring to EBITDA -- when we're talking about the EBITDA margins or adjusted EBITDA margins?
Matt Pfau: Yes, correct.
Stefan Joselowitz: Yes. I think it's certainly a combination of a big focus on cost control, specifically what we would deem nonstrategic costs. So we certainly have been tightening our belt and we'll continue to do so. Combined, of course, with increased revenue, which I guess, that's where the magic happens. If you can grow your top line faster than the costs are being added on in the business, you unlock efficiency and drive margin expansion. And we're certainly seeing that impact in our business as we've reported over the last couple of quarters, and we're certainly expecting that expansion to continue.
Matt Pfau: Last one for me. You called out the M&A team, Joss. What are you seeing there in terms of pipeline and willingness of assets to potentially sell themselves?
Stefan Joselowitz: So certainly, we are -- I'd call it improvement. I guess we're -- in terms of the conversations we're having, I think the valuation expectations have moderated somewhat in terms of setting the size of the assets that we're looking at. So I think these kind of times do play favorably into the hands of organizations such as ourselves that have strong unleveraged balance sheets that are cash flow positive as thankfully, we are starting to enter a phase of good cash generation again. And I think it does put us in a relatively strong position to potentially take advantage of opportunities that might come along. So certainly, the team is building a nice pipeline. We're having some interesting conversations, nothing that's clear and present as we speak, but certainly interesting stuff.
Operator: Ladies and gentlemen, that concludes our question-and-answer session. I'll turn the floor back to Mr. Joselowitz for any final comments.
Stefan Joselowitz: Thank you, Melissa. Great job. We'd like to thank everyone for listening to today's call and we look forward to speaking with you again when we report our fourth quarter and, of course, full year fiscal 2023 results shortly. Also, please stay tuned for details regarding our upcoming Investor and Analyst Day as we hope to see many of you there. Last, I would like to acknowledge the contributions of our worldwide team. Their tireless efforts and commitment to MiX were instrumental in our successful quarter. Thank you, guys, for your role in advancing our goal of being a top provider of fleet and mobile asset management solutions. Thank you, everyone, and have a wonderful day.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.